Operator: Greetings, and welcome to the Doman Building Materials Group Third Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Ali Mahdavi, Head of Investor Relations. Thank you. You may begin.
Ali Mahdavi: Thank you, operator, and good morning, everyone. Thank you for joining us this morning for Doman Building Materials' third quarter 2024 Financial Results Conference call. Joining me this morning are the Company's Chairman and Chief Executive Officer, Amar Doman; and Chief Financial Officer, James Code. If you have not seen the news release, which was issued after the close of market yesterday, it is available on the Company's website as well as on SEDAR along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight on November 22. Following management's presentation of the third quarter results, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward looking information, which is made on behalf of Doman Building Materials Group Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward looking information about future events or the Company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call and the Company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors, which could cause or would cause actual results to differ. The Company will not provide guidance regarding future earnings during today's call and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'd like to now turn the call over to Amar.
Amar Doman: Thanks, Ali, and good morning and thank you everyone for joining us on today's call. On the back of a steady yet challenging second quarter in volatile market conditions, the third quarter was similar in terms of our focus on optimizing operational and financial performance on both sides of the border, while navigating through volatility and general activity and lower average pricing when compared to the third quarter of last year. Throughout the third quarter, once again, we continued to work through the impact of challenging year over year pricing comparatives, largely due to the impact of construction materials pricing, which on average was higher across all categories for most of 2023. Overall, we continue to see weakness in the North American market due to cooling customers demand, which placed downward pressure on materials pricing during the quarter. Despite these external pressures impacting our year-over-year financials, our focus remains on what we can control to ensure we maximize margins and free cash flow generation. Inventory and overall cost management were once again key contributors to our success in the third quarter, resulting in another period of gross margin performance within our target range. While we continue to see more of a cautious tone and sentiment across the industry, we are encouraged with some early positive indicators of construction materials pricing firming up in certain categories as well as steadier activity in our key markets. Despite the lower pricing and macroeconomic concerns, I remain pleased and encouraged by the strength of our business model and our ability to perform while ensuring that our first-class level of service remains on point. As a result of our collective efforts, revenues amounted to $663 million gross margin remained strong at 15.5% or $103 million, adjusted EBITDA amounted to just under $48 million, net earnings came in at $14.6 million and lastly, we paid another quarterly dividend totaling $0.14 per share. Speaking of financial performance, I am pleased with our continued focus on balance sheet management and optimization. To this point, during the last 12 months, while working through some of the challenging market dynamics, we were able to effectively manage debt levels, thanks to the strength of our free cash flows. During the quarter, we announced the closing of a $265 million senior unsecured note offering, which went towards the reduction of amounts outstanding under our credit facility as well as buying back and canceling 52.3 million of our 2026 senior notes. As a result of our efforts to maintain an optimal and growth friendly balance sheet at all times, after quarter end, we announced the acquisition of Tucker Lumber, a leading family owned lumber and treated wood supplier and a large producer of specialty value-added products ranging from lumber, fencing, deck components and plywood operating in the Eastern United States with three very large lumber treating plants, specialty sawmilling and a captive trucking fleet. We welcome all new 450 team members to the Doman team. In addition to being immediately accretive to EBITDA, free cash flow and earnings per share, this highly strategic acquisition complements Doman’s existing Central and West Coast operations in the U.S., with immediate scale in 10 new states, including South Carolina, North Carolina, Florida, Georgia, Virginia, West Virginia, Delaware, Maryland, New York and Pennsylvania. Looking ahead, we are very excited as we work through the integration of Tucker in demonstrating our improved earnings profile. As always, we remain confident in our ability to work through volatile markets diligently, while serving our customer needs with the highest level of service. We remain very excited about our growth profile and the overall prospects of the business. And with that, I would now like to ask James Code, our CFO to take over and provide a review of the Company's third quarter 2024 financial results in greater detail, and then we will open up the call for analyst questions. James?
James Code: Thank you, Amar, and good morning, everyone. Sales for the quarter ended September 30, 2024 were $663.1 million versus $643.9 million in Q3 last year, representing an increase of $19.2 million or 3%. This quarter's lower average pricing for lumber and panels was more than offset by higher volumes, driven by contributions from the recently acquired Southeast Forest Products facilities. The Company's sales by product group in the quarter were made up of 74% construction materials compared to 72% last year with the remaining balance resulting from specialty and allied products of 21% and other sources of 5%. Gross margin dollars were $103 million in the quarter versus $102.8 million last year, a slight increase of $173,000. Gross margin percentage was 15.5% in the quarter compared to 16% achieved in 2023, with the decrease in margin percentage largely due to the impact of the previously discussed decline in construction materials pricing. Expenses in the quarter were $73.5 million compared to $67.6 million in 2023, an increase of $5.9 million or 8.7%. As a percentage of sales, expenses were 11.1% compared to 10.5% last year. Distribution, selling and administration expenses increased by $4.7 million or 9.3% to $55.5 million compared to $50.8 million in Q3 '23 mainly due to broad inflationary pressures and additional DS&A related to Southeast Forest Products operations. As a percentage of sales, DS&A was 8.4% this quarter compared to 7.9% last year. Depreciation and amortization expenses increased by $1.2 million or 7% from $16.8 million to $18 million mainly due to additions of property, plant and equipment from the Southeast acquisition. Finance costs for Q3 '24 were $11.8 million compared to $10.1 million in 2023, an increase of $1.7 million or 16.3%, largely due to higher interest rates on the Company's variable rate loan facilities during the quarter. Q3 EBITDA was $46.3 million compared to $52 million last year, a decrease of $5.7 million or 11%. Q3 EBITDA includes acquisition related costs of $1.2 million. Adjusted EBITDA excluding these acquisition costs was $47.4 million compared to $52 million last year, a decrease of $4.6 million or 8.8%. The decrease in EBITDA and adjusted EBITDA was mainly due to the previously discussed overall pricing declines as well as an increase in expenses driven by broad inflationary pressures. As a result of these factors, net earnings for third quarter were $14.6 million compared to $21.2 million in 2023, a decrease of $6.6 million. Excluding this quarter's acquisitions, acquisition costs, adjusted net earnings were $15.4 million a decrease of $5.7 million. Turning now to the statement of cash flows. The following activities accounted for changes in cash during the nine-month period ended September 30. Operating activities before non-cash working capital changes generated $108.9 million in cash compared to $132.2 million in the same period in 2023. The decrease in operating cash generated was largely driven by this period's lower net earnings compared to 2023. Changes in non-cash working capital items generated $12.2 million in cash versus consuming $4.5 million in the same period in 2023. The net improvement in cash generated from non-cash working capital was largely due to management's continued efforts to optimize working capital levels while maintaining the highest standards of customer service. Overall financing activities in the nine-month period resulted in net repayments of $55.7 million compared to net repayments of $117 million in the same period in '23. On September 17, 2024, we completed the issuance of new 2029 unsecured notes, resulting in gross proceeds of $265 million. The new issuance was debt neutral given that cash proceeds net of issuance costs were used to repurchase a portion of our 2026 unsecured notes in the amount of $52.3 million and to reduce drawings on our revolving loan facility. The increase in net debt during the nine-month period amounted to $13,900,000 compared to a decrease of $69 million in the comparative period in the prior year. The variance in net debt movement between the nine-month periods is largely due to this year's purchase price consideration for the Southeast acquisition and the decrease in net earnings partially offset by improvements in non-cash working capital management. The Company was not in breach of any of its lending covenants during the nine months ended September 30, 2024. Shares issued net of transaction costs generated $1.4 million of cash compared to $1.2 million in '23. The Company also returned $36.6 million to shareholders through dividends paid during the period, largely in line with the same period in '23. Payment of lease liabilities, including interest, consumed $21.3 million of cash compared to $19.8 million in '23. And the Company's lease obligations generally require monthly installments, all of which remain current. Investing activities for the nine-month period consumed $71.3 million of cash compared to $10.4 million in 2023. Investing activities in the first nine months of 2024 included the Southeast acquisition for total cash consideration of $62.3 million. Additionally, the Company invested net cash of $9.2 million in new property, plant and equipment during the period compared to $10.4 million in 2023, representing purchases net of proceeds from dispositions. As a result of these cash flow activities overall, we ended the third quarter with a net cash balance of $25 million compared to net bank indebtedness of $4.4 million in September 2023. This concludes our formal commentary and we'd now be happy to open the call to any questions that you may have. Thank you. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Yuri Zoreda with Canaccord Genuity. Please state your question.
Yuri Zoreda: Good morning and congrats on the good quarter. Yes, so just looking to get more detail on the year-on-year revenue increase, seems like it implies some improvement in the trends observed in the core business against the last few quarters. So, is that the case? Or was there anything else in particular that made Southeast contribution stronger?
Amar Doman: Yes. Thanks, Yuri. It was some acquisition of Southeast Forest Products that certainly increased the revenues against declining pricing. So certainly, we were pushing more units through to get those revenues up to $663 million for the quarter.
Yuri Zoreda: Okay. So, in terms of volumes of the underlying business, do you say that, that remains as we've observed in the last couple of quarters?
Amar Doman: Yes. What we found, here, in the kind of the middle part of the third quarter, we started to see some volumes pick up in certain areas down in the U.S. and across Canada, which was pleasantly surprising to us as we were looking towards more of a flat to off year by a few percent. And as we get closer to the year-end finish, we may be close to even to last year as far as our volumes go system wide. So, we're pretty proud of that and that's without the acquisition. So, yes, the volumes have healed up and the customers started to come back kind of later this season and we'll happily take that business.
Yuri Zoreda: Okay. That's good to hear and that's great color. And last one, just quickly from me. Last quarter, you were mentioning some volume pickup from the hurricane in Texas. And I was wondering, if you're seeing more of that in Q4, especially now that you have Tucker, and given that the season continued to hit the U.S. East Coast, especially toward the end of September. So just wondering, if you're seeing any of that in the current quarter?
Amar Doman: Yes, we are. And certainly, we don't like grabbing business due to hurricane and damage, but certainly it's there. Texas has been very strong the last six, seven weeks as has our new business in the Carolinas. It's busy, it's active. The weather actually has been very nice post those storms and hurricanes. And so, we're seeing our volumes look pretty sharp as the fourth quarter started.
Operator: Our next question comes from Zachary Evershed with National Bank Financial. Please state your question.
Zachary Evershed: Good morning. Congrats on the quarter.
Amar Doman: Thanks, Zach.
Zachary Evershed: So, from the new acquisitions, are they bringing anything to the table in terms of new processes? Obviously, there's some expansion in the product portfolio, but maybe you could flag that for us.
Amar Doman: Yes, absolutely. So, with the acquisition of CM Tucker on October 1, we're seeing now our company be involved with robotics. We're producing 150,000 balusters a day, which are servicing a lot of distribution centers in the area going down as far as Florida and as far north into the Northeast New York area in Pennsylvania. So, with all of these new product lines that we've discussed, whether it's balusters, spindles, stair stringers, ball tops, all things that are made in house, we are very much technology forward with this acquisition, and we think we can start over time to bring those technologies to other divisions as CM Tucker is really leading the industry as far as technology goes production efficiencies, and we're very proud to have that in our family and we want to emulate what the Tucker family has built and we're going to do that over time. And furthermore, we're also going to try and cross pollinate some things we have going on with dolmen lumber in the mid part of the country with our specialty sawmills producing fence and the like. And we see ourselves moving east with some of those strategies as time unfolds and the marriage comes together.
Zachary Evershed: Great color. Thanks. And then if we zoom out and look at the whole vertical, could you maybe frame the current environment for lumber and sawmill curtailments and closures in a historical context? Like when was the last time you saw an environment like this and how did it affect your strategy?
Amar Doman: I don't think I've seen an environment where there's been so many moving pieces at the primary level, meaning permanent closures here in British Columbia at home, and then seeing the rapid expansion of sawmill production in the U. S. South of Southern Yellow Pine. This is a transition. I don't think there's anything to compare it to, Zach. This is a very different longer-term platform for sawmilling. And there's a lot of tough decisions being made in those boardrooms right now to get this right and for the future. So, I don't think we've been through this. I certainly have not seen the industry fundamentally so different and changed. And I think one thing that we saw over the past call it 5, 6 weeks was the evidence of production either being strained or closed in certain areas. A little bit of demand comes and man does the rally happen fast. And it's showing that when we get a recovery, I think back on the new housing side on both sides of the border, lumber could be looking pretty handsome at some point.
Zachary Evershed: So definitely sensitive to increases in demand. So, I guess it really depends on do you think that an inflationary environment makes affordability worse and lowers demand or that lower regulation south of the border potentially stimulates homebuilding? Obviously, this is all crystal ball territory, but what's your point of view?
Amar Doman: The new home piece is obviously important to our business, but just as is the repair and remodel, which when we look at the U.S, over 83% of all mortgages are financed under 2% during COVID, right? And Canada had a similar number, we've got refis coming up here, which could put a bit of a strain on it. But down South, there's a lot of extra money in people's pockets. They're not moving around, which isn't great for our business, but it hasn't really hurt in past couple of years. Our volumes continue to be solid and whether it's the repair and renovation market or the new home market. And then of course with these storms, we're getting volumes that way as well, which is unexpected volume. So, when you add all that up, it's good news for Doman.
Zachary Evershed: Got you. Thanks. And just one last one for me. Following Southeast Forest Products and Tucker, how many similar opportunities do you still see in the market? How's the pipeline looking?
Amar Doman: Yes, right now, we're focused on integration of Tucker and our new team members and gluing that together with our Doman Lumber operations as well where there's 19 facilities. So, we're really working on that currently. And as far as other opportunities, yes, there's still opportunities out there and these things take time. And right now, we're focused on the matters at hand here and making sure that there's no disruption to our customers and our vendor side, employees and everything else. But certainly, we're not going to stop elephant hunting out there for sure.
Operator: Thank you. Our next question comes from Matthew McKellar with RBC Capital Markets. Please state your question.
Matthew McKellar: Hi, good morning. Thanks for taking my questions. I'd like to just follow up on a couple of statements on the call so far. Maybe first, you talked about a pickup in volumes in both the U.S. And Canada starting in mid Q3. Was that pretty broad based or were there any product categories you'd call out as being in particular stronger or weaker?
James Code: Good question. So, yes, mid Q3, yes, and it was system wide. So, across Canada, U.S. West Coast and all across the U.S, volumes have picked up and continue to be good when the weather is it's been a nice fall for weather and I guess some projects started to get either get finished or started. And I think we can correlate some of that to lumber still being very fair priced, so lumber isn't through the roof. So, I think some projects get completed at these lower pricing levels compared to a couple of years ago. So, I think when you add all that stuff together, it's certainly been a very nice catch up on these volumes in the third quarter and the fourth quarter has started the same way.
Matthew McKellar: Great. Thanks for that color. Last one for me, you also talked about wanting to emulate some of the technology and automation at CM Tucker across some of the rest of your business. Is there a good way to think about what that means in terms of potential capital spend or what kind of returns you might see on those investments?
James Code: Yes, bit early yet for those details, Matthew, but I can tell you that looking at the robotics and how much time and capital has been put in at CM Tucker over the years and getting things right and trial and error for us to be able to emulate is something we're very excited about and having their experience and their family involved with ours here is going to be pretty special. So, I don't have numbers today, but certainly we're going to zoom out and have some strategy sessions on this to see where it makes sense, what geography, but it's really exciting and we certainly invite you for a tour to take a look at these operations when you have time.
Operator: Thank you. Our next question comes from Ian Gillies with Stifel. Please state your question.
Ian Gillies: Could you maybe talk a little bit about some of the revenue synergies you hope to realize, whether it be through customers that Doman already has and/or those that CM Tucker already have and perhaps how long you think it takes for that to start to materialize?
Amar Doman: Yes. So, a couple of things on revenue, there's really no overlap, a tiny bit of overlap in geography, kind of near Indiana, Ohio, there's still a little bit there. But really, we've now been able to quote and it was pretty special for us to quote some national accounts in the U.S. from one end of the country to the other, which we are now doing with national customers, whether it's the U.S. LBMs, BFSs, 84s, Lowe's, you go right across with different strategies now. That's very important to our customer base and there is no other treater in the U.S. that could do that. That was a goal of ours a number of years ago and we've got there with the CM Tucker acquisition. So, we are coast to coast and in Hawaii. So having that national footprint is very valuable to our customer base and our supplier base. So, give us some time here, and we'll be able to leverage that even further, but already in our fall negotiations for 2025, the offering is pretty solid. We're pretty proud of it and the strategy we believe is going to work to assist our customer base in what they're up to.
Ian Gillies: That's helpful. Thank you. As you chunk down the leverage over the next 12 months, will you put any thought to an NCIB or do you really view Doman now as a roll up strategy and wanting to become that coast to coast provider?
James Code: Matthew, it's James here. On the NCIB side of things, we actually discussed that yesterday in our quarterly board meeting and decision was made not to renew the NCIB. Of course, we didn't renew it in 2024 as well for 2024. So, not really looking to go into the NCIB, but we do look forward to paying down debt as we have been doing since -- really since the Hixson acquisition. As you know, we've reduced debt significantly and the Tucker acquisition is expected to have similar impacts on debt reduction going forward.
Operator: Thank you. There are no further questions at this time. And I will now turn the call back to Ali Mahdavi for closing remarks.
Ali Mahdavi: Thank you, everyone, again for joining us this morning. We look forward to speaking to you again on our year end conference call, which will be in the New Year. That concludes today's call. Enjoy the weekend, and I'll turn it back to the operator to close things off.
Operator: Thank you. All parties may now disconnect.